Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Unidentified Company Representative: 0:01 Good afternoon, ladies and gentlemen, and welcome to the Sylvania Platinum Interim Results Investor Presentation. Throughout this recorded presentation, investors will be in listen-only mode. [Operator Instructions]. The company may not be in a position to answer every question received during the meeting itself. However, the company will review all questions submitted today, I published responses where it's appropriate to do so. 0:27 Before we begin, I’d like to submit the following part and if you'd give that your kind attention, I'm sure the company will be most grateful. I now like to hand it over to Jaco Prinsloo CEO, good afternoon to you sir.
Jaco Prinsloo: 0:40 Good afternoon. And thank you very much for the opportunity to engage with you, again and for first having to thank you for our interim results for the period. It's also a pleasure and I think the feedback we get for this platform is very valuable. So myself and Lewanne Carminati CFO will be taking you through the key aspects of our results in this presentation, and hopefully have some time for Q&A afterwards. 1:12 So let me just jump straight into the overview of the financial year or the year. I think, first of all, from a production perspective, we were 11% down on the ounces on the corresponding period. But I think it's important to note that, we still had a solid production performance and the factors that contributed to the level production are basically isolated to two incidents, so the first one being the temporary production suspension at Lesedi. We announced just after our financial year, last year, and then subsequent water shortages and then secondly, the lower PGM Feed grades of open costs raw material we receiving at the point of operation particular and that affects both the PGM Feed grades and recovery efficiencies. So those two explain basically the production deterioration and I will cover that a bit more in detail a bit more later. 2:12 Important want to notice that the PGM Feed Tons a 17% down on the corresponding period is primarily because of the Lesedi county just lost to all the other operations met or exceeded their production performance for the period. So as I said, overall, quite encouraging that they managed to mitigate a lot of the impact. From the financial perspective, obviously, as we've seen in the last financial year, we are quite heavily impacted by the movements in the PGM price. And in this instance, with a PGM also process deteriorated is 7% period and period. The combined to the lower PGM production, my fortune revenues and profits were quite a bit lower. Nevertheless, it was still a solid performance generating still good cash and profits. And that enabled us to be able to stall the clear windfall dividend for the period of 2.25p that we would aim to pay in April. That's following on from 4p and your dividends were paid in December and also 3.75p we've paid in April last year. 3:21 So last one on the slide, which we will cover in more detail later in the presentation is obviously the group cash cost being up quite a bit in the remaining area of focus. And because of our large, fixed costs portion of our costs and the answers being down, our cash costs are quite a bit higher, and remain the focus here. And we'll deal a bit more of it later in the presentation. 3:49 I think a lot of people are familiar with location of operations, this just gives us the brief overview for anybody who's new on the – on our company, that they are to pause our presentation, you'll see like in the project when we talk about projects and growth as well. We primarily have six Chrome, beneficiation and PGM plants – processing implants that are located on the Eastern Western Limb of this African bushveld complex respectively. And that's the those are the operations currently generating all our revenue and profits. 4:25 And then secondly, to the top of the picture there in the middle North is the to mining right areas that we have, or a number of mining right here is the one is the Grasevally Chrome Mining project that is within announced in recent announcements that is a sale that's in progress. And then the other two is the Northern Limb and Volspruit projects, which we'll deal with later in the presentation. 4:54 Looking at the production profiles, and I've mentioned earlier that, we fundamentally this year saw their production – and the lower production primarily because of the impact of the Lesedi and I'm wondering you can see the yellow and blue bars being smaller for 2022. We are ever looking at commissioning the Lesedi MF2 later and we will during the day towards the end of this quarter, to ramp up and stabilize during Q4. And we are looking at commissioning Tweefontein to later in this calendar year. So in the first half of the new financial year, and those 2 projects will help to ramp our profile up again, combined with us addressing the water issues and Lesedi, which I'll deal with in the next slide just now. I think also just worth noting on this little split is we show the these are 4E answers we're dealing with. And you saw our 4E Prill Split there on the side. But I have also just put a little table in on the slide that compares it to 6E. And you can see for instance for this period, the 32,400 ounces equates to about 41,860 ounces. And the only reason we doing that is for you to get an idea some of our peers and other companies in the industry announced only 6E ounces and then you can see what the ratio of the 2E is. 6:25 So if we look at more detail around the Lesedi problem and as I said with announced early last year, okay. After our financial again to the problems we've had, we've managed to successfully implement a number of mitigating measures that helped us to reinstate integrity of the dam to the current state where it's not a concern all the parameters are falling within our acceptable design and operating parameters. We have our ever from a production point of view incurred longer downtime than anticipated and the primary reason for that is when we started remining and recommissioning feed to the operation. At the end of September last year, we've had significant water shortages and also because we depositing on a temporary emergency tailings in the deposition facility, our return water rates, the recovery rates were lower than normal. And therefore it exacerbated the water problem and we had significant production downtimes at that operation. 7:30 However, we have subsequently installed an additional water supply through new boreholes that was installed at Lesedi and also we have just commenced commissioning of the new tailings facility at Lesedi. It's been in construction during the last year and you can see the bottom right picture there. It's a state of the art tailings facility with suitable storage return-water dam [Indiscernible] water-dam facilities that will be able to manage the water a lot more efficiently going forward. 8:03 So overall, we believe that we will see Lesedi coming back to more sustainable production and from Q4 obviously in this current quarter January and February still partially impacted taking into account in our forecast for the year. When we look at the other two areas of focus last at the moment, the lower on grades and as I explained in previous announcements since our host mine scaled down some of the underground operations in early 2020. We have seen quite a reduction in PGM Feed Grade to our main way operation in particular, with PGM Feed 30% to 40%, lower. And various sampling campaigns investigations has been performed during the period to try and address that to those months. Obviously, the current mine is don't do PGM grade control at all, the primary current mine is because it's not the business and we from Sylvania point of view and our relationship with those mines employ external geologists, the mining engineers, specifically the focus on the PGM grade occurrence on the various sources, so that we can work with those found to try and improve the blending ratio to our operation. And we anticipate an improvement in the feed grades to come. 9:26 The last one at the bottom of the slide is water constraints and operations and it ties into what I've just discussed on the Lesedi. But water generally in areas of the program, and we've also received on the piece of might have questions for investing meet quite a few questions relating to water. So I think it's worth maybe just looking at that what we're doing. They are various initiatives we have implemented since 2019 and that was really the first year where we had significant downtime between Mooinooi and Lesedi. We've had significant additional [Indiscernible] recover water around our own properties. We've also very innovative plan that employed a company called water enters to scavenge and reduce seepage water from around the perimeter of the tailings dams that added significantly to our water supply and helped us to balance the water better. And then finally, as I said, looking at better return-water facilities surround our designs in the new building facilities. We also continue to engage with our host minds with neighbouring minds with water specialist in the area to not only look on our own properties, but also conducting water studies, underground water surveys are now surrounds and there's a couple of projects that could potentially improve the long-term situation of water. So I think if it wasn't for the tailings dam issues at Lesedi, the impact would not have been so pronounced. But it is still a focus area for us in terms of long-term security. 11:01 From opportunity perspective, obviously we've – we quite happy that we are able to commission our Lesedi bond soon the MF2 which is the secondary milling and flotation MF2 as you would remember, this secondary billing and flotation. blonds is outflow from the very successful rollout of our Project ECHO or that we have rolled out MF2 plants to [Indiscernible] respectively, and which have been running very successfully for a number of years now. Lesedi is the next one to follow and then Tweefontein is also an execution to be done later in the year. And as I said earlier, those plants will contribute giving an experience. 11:47 Also is progress on the additional third party tenants material and that is specifically looking at higher grade available tailings for 3rd parties that we can blend into our existing infrastructure on the one end and also the new opportunities on the other end. Obviously, the existing ones we have is some smaller few sources to the tune of 2,000 ounces to 3,000 ounces a year we can add that's associated with some of our eastern operations. But then we also have various sampling campaigns where we continue to engage with the bodies to bring in secure more material online. 12:22 Fine chrome recovery is again, it's a project we've defined in terms of Unlocking Potential in otherwise sterilized resources with a PGM grade is too low in some of our old dumps. So instead of walking away from those dumps, because the PGM grade is low, there's lots of significant Chrome and there is a mutually beneficial business case for us and those mines to recover that Chrome and once you recover the significant amount of Fine Chrome you also upgrade the PGM to a stage where it is worth picking it another time for your operation. So therefore extending life of mine and we continue to focus on those projects. Lenox in particular is an example where this would work very well. 13:04 And then just finally, we manage to maintain a strong cash reserves and we continuously balance our existing capital projects to stay in business and interim expansion versus the need for future projects, looking at creating value for shareholders and the different instruments, and also then it gives us the advantage of having cash available in the event of opportunistic M&A. 13:34 So I'm gonna end over to Lewanne, just to take us through the financials and then we'll do a bit more some of the projects that the inbound the market and I'll do the details for us afterwards. So thank you very much.
Lewanne Carminati: 13:49 Thanks, Jaco. Often, running brief through the financial information for the six months to 31 December 2021, net Revenue for the period was $69 million, and includes 4E revenue and by-products as well as base metals and the sales adjustment for the period. I'll go into the revenue a little more detail in the next slide. Cost of sales includes both direct and indirect costs of production, plus non-cash items, such as your depreciation, whichever has payments and we had provision movements. We've split out the Mineral Royalty Tax on the base of the statements given the increase in Royalty Attracting ounces, resulting in a much higher cost is typically disclosed. And then other expenses are [Indiscernible] G&A in South Africa, Mauritius, Bermuda and the UK and then a portion of that is also realized for its adjustments on revenue. 14:56 Lastly on this slide, is the income tax expense, which includes income tax that's payable on profits in South Africa at 28% deferred tax movements dividend withholding tax, which is declared on dividends declared by the South African operating entity upwards to the parent entity. And this brings us to a net profit of $24 million balance for the period. 15:26 Looking at revenue and net revenue is down 19% on the comparative prior period. The lower Basket price accounted for a decrease of $6.6 million and the lower ounce production a decrease of $9.3 million. The percentage revenue contribution for each of the six key metals is shown in the pie-chart in the bottom right of this slide. Platinum contributed 23% of revenue, which equates to about $15 million. Platinum 20%, Palladium 15%, which is about $10 million, and rhodium at 56% of our revenue at the $9 million. Ruthenium and iridium make up the balance of the six year revenue or $5 million. 16:10 The sales adjustment for the period is calculated on the answers that were delivered in the last three months of the 2021 financial year and recorded at the last price received in June, but only invoiced in July August and September. So the pullback in the rhodium price in September had a negative impact on our revenue for the past 6 months. 16:35 The SDO operating cash cost per ounce increased 32% to $815 per ounce compared to H1 2021. A portion of this increase is due to the strengthening of the average rent dollar by 7% [Indiscernible]. So if you look at the cost in Rand terms, our cash was increased 23% with the main contributors being that 15% increase in electricity mining costs that were higher due to the subsidy paid to the host mine and as we said at year end results presentation was on a trial basis and has subsequently stopped so that that cost will be reduced. 17:16 We had higher consumable costs which are incurred as a result of more wrong material at the Lenox bronze. annual payroll increases were effective in July 2021 and then we had to higher maintenance costs as a result of course a material feed being processed to some of the clients. Converting at an average exchange rate of 15.29 to the dollar and forecasting a full year costing at around $790 per ounce. The 2023 and 24 cost per ounce is an illustrative guide based on our forecast answers as well as the current exchange rates. 18:00 Then the table on the right just gives a breakdown of the five largest direct costs of operations for the six months with employee cost accounting for 32% of total direct operating costs and then followed by GTT. The group EBITDA as with revenue and cost per ounce, the EBITDA was impacted by lower ounce production and lower process with a period as well as slightly higher costs. The full year EBITDA is estimated at just about $100 million and has been adjusted for the revision in production for the financial year, again between 2023 and 2024 EBITDA estimates are an illustrative God based on the current exchange rates, and spot prices in February 2022 and the higher focus answers produced following the commissioning of the Lesedi, MF2 and Tweefontein. 18:59 Our cash flow was remained strong despite the production challenges. For the reporting period operating profit before capital was $36.4 million working capital increased $6.7 million, net interest income of $700,000 and we paid our taxes of $12 million. Investing Activities comprise capital strings of $6.1 million on operations, capital projects and SIB and then $1.3 million on exploration. 19:32 The company also spent $2.4 million on share buybacks and paid out $14.6 million in December for the annual dividends for financial year 2021. Looking forward to the second half of the financial year, cash flows will be impacted by the ounce production and Basket price. The higher voice get price in February will have a favorable effect on cash flow for answers produced in November December. Higher capital spend and outflow is four possible growth projects income tax and mineral water tax payable June will affect the cash flow for the next 6 months as well. And then lastly, the payment of the windfall dividends in April and any other potential cash capital returns to shareholders expense. 20:24 There hasn't been too much change to the capital forecast for the full year compared to the presentation in September. We incurred little additional capital on the temporary tailings facility at Lesedi and much of this will be reallocated to the new facility. The full cost remains at around $22 million for the full year and $16 million for 2023. And this includes the MF2 for Lesedi and Tweefontein and then the three tailings dams which are inside. 20:58 On exploration capital for 2022 is the drilling program that commenced last year. As we still awaiting the final results on this program, which are due July this year. We haven't planned any further exploration capital and that will be dealt with in the new financial year. 21:23 And looking at our ESG. In our 2021 annual reports replenished our heart rates ESG report confirming our commitment to ESG, and sustainable mining based on the UN Sustainable Development Goals. And each reporting period we aim to provide updates and on our progress whilst aligning our ESG risks, opportunities and exposure areas to the company's values, as well as the ICMM guiding principles. 21:54 The very nature of our business reducing the impact of mineral waste – or impact that mineral waste dumps have on the environment. The reworking of the dams and read depositing on the same footprint for more enhanced facilities reduces the environmental impact of these dams and also reduces the potential secrets or spillage as we continuously monitor and upgrade these facilities. 22:20 In addition to this, the company also makes financial provision for final rehabilitation of these facilities, and we just commissioned the trial project to revegetate the dumps with suitable plants and seeds and ultimately creates a natural habitat to attract insects and small animals. But they stopped studying for this was completed during the reporting period and a start at one of our clients has already been allocated to start the trial. 22:48 The main focus of the company with regard to our carbon transition currently is energy optimization and investigating renewable energy. So when is current emission calculations are based on Scope 1 and 2 emission sources from Eskom diesel generation and diesel used and are below acceptable thresholds? 23:10 Management intends to focus on reducing energy intensity through optimization of processes, the possible reduction and replacement of Scope 1 and 2 energy sources with greener alternatives, and ultimately the recovery of emissions. This is a long-term goal, but small projects already in place that will be implemented, such as power factor correction installed at 83% of their plans, new lighting installations utilizing lower low energy led, and then studies have been initiated at two plans to assess the suitability of possible feeding plans to supplement daily power usage. 23:53 Under the social banner, the company grew its local community employment by 27%. With funded or are finding a number of learnerships or work based learning programs. There was a small increase in women in mining during the reporting period and company aims to increase this even further going forward. We've continued our community projects with focus on schools feeding schemes, business development of community businesses and awareness programs, including World AIDS Day, 16 days of activism for no violence against women and children, and all the day to name a few. The company also launched an employee wellness program post period end, we identified the need for this program optimizing the impact of COVID-19 on the mental well-being of people in general. The program goes beyond COVID and provides unlimited telephone counselling covering work, personal emotional trauma, dealing with illness and dependency, and also provides financial planning advice face to face counselling with necessary and legal advice. 25:07 In respect of safety, although the lost time injury frequency rate reduced in comparison to the prior financial year, the company did have one [Indiscernible] employee of a contractor onsite [Indiscernible]. The plants do run regular safety campaigns, and they are well supported by employees and contractors. And the government that company is in the process of formalizing its ESG reporting Toolkit. In addition, the company is continuously updating and improving its existing policies Germany's with stakeholder expectations, and to ensure legal compliance. We had no section 54 or section 55 stoppages are instructions from the Department of mineral resources and in terms of our economic contributions in South Africa, the company paid $377 million to supplies in South Africa and both OpEx and CapEx, ZAR 155 million was paid to employees and in taxes and contributions on behalf of employees. And ZAR 329 million was paid in income tax VAT, mineral water tax and dividend withholding tax. 26:25 Webinar ESG is ESG reporting is ongoing and we looking forward to publishing a report [Indiscernible] community and confidence.
Jaco Prinsloo: 26:47 Thank you very much Lewanne and I think let us have a quick look at the PGM basket process and in the market and also where to from here. I think very briefly, just a recap on the Prill Splits we've had earlier in the presentation as well. But it puts in perspective, when you look at the price trend at the bottom, we have the big increase, especially Erodium. That purple line in the bottom of the graph increased about mid last year, and then the sharp decline they after. But fortunately, we have started seeing uptick again since early this year. And I'll explain that a bit more in terms of the fundamentals on the next slide. But just you know you can see our Odium is 56% of our revenue for the past year. Our impact on the price of rhodium because we are pro is a good splits. So when it was all going well, and rhodium is up it's all positive and when rhodium is declining. It does have a negative side to results. 27:56 So when we look at a market and where we think the price will go I think it's important to understand in the metals that we deal with in the form a significant part of our basket. What drives that I think palladium and rhodium in very much getting together with the auto catalysts sales rates a significant portion 83% and 91% or setback roughly on the demand. And that was heavily impacted during the past year with a slowdown in internal combustion vehicle sales that was impacted by the global chip shortage. But we have seen as the sales are starting to improve and also forecast to improve significantly during the year, we have seen recovery starting in these metals and with analysts forecasting these metals to remain in deficit. For the short to medium term, we're quite positive that we should still experience robust process on palladium rhodium and some yes, we fully aware that battery electric vehicles are a threat to the internal combustion engine that [Indiscernible]. 29:07 But, you have to also look structurally at the capacity of producers to produce the necessary battery metals, your nickel, cobalt, lithium, etc to double the batteries and also as a result of the supply and demand or the increasing process. And we've seen very sharp increases already and those are factors that might slow down the battery electric vehicle rollout, they will list as I said, for the short-to-medium term, we're quite confident in the palladium and rhodium market. The Platinum on the other side of being in surplus at the price was more under pressure in recent years, however, with Platinum’s role in both us and industrial, chemical applications, and also the opportunity where some suppliers are looking at substitution from palladium to platinum in some more tickets. That is the demand for platinum we're looking for going forward is forecast to increase and I think, analysts vary slightly in the forecast. But between 5 and 7 years, we expect the Palladium price – the platinum price to increase more platinum plays quite a big role in the hydrogen economy in the sense of hydrogen catalysts, both in industrial catalysts and also in fuel cell vehicles. 30:31 So we'll keep our eye on that. And I think just when you look at some of the prices, we've heard from a few institutions, I think this first one the platinum and Standard Bank – Standard Bank corporate banks forecasts in terms of platinum, especially the long-term increasing is in line with that expected demand increase and Olbermann netbank have a more stable outlook. And then palladium and rhodium, you can see both have a declining profile, but still significantly higher than historic levels. While gold is quite flat, and but it's a minor portion, there's not 1% in our overall basket. 31:12 So in general, I think we were the process is at the moment, we don't anticipate the process necessarily to go back to where we've seen them in the first half of last calendar year. But we do believe there'll be remained significantly stronger than we've seen in recent years. So if we look at the strategy and our outlook going forward, we obviously remain committed to return significant value to our shareholders. And we do that in the sense of creating positive – generate positive guests and returning value to the shareholders both by means of dividends. And we've done both NL and windfall dividends, and also regular share buybacks. And also by not going back to the market to ask for money to fund our growth projects. We haven't had the need to raise any capital in the market since 2009 and all our growth up to now has been funded from internal cash resources completely. So we want to maintain and continue with an annual stable sustainable annual dividend and a progressive dividend. For shareholders, we continue to generate cash there and then as we've done with this particular windfall, we have higher than anticipated metal prices, compared to consensus values for a period, we would look at sharing, again, additional money with our shareholders. And then obviously, you know, since 2015, we've had almost 50 million – 49 million shares that we bought back of which we cancelled nearly 13 million shares, retained by the shareholder so that's a philosophy that we will continue to do, obviously, in order to maintain flows back to our shareholders. We have to ensure that we continue generating profits and that we have a sustainable business going forward. And we do that in three ways. Firstly, with the normal R&D and press optimization initiatives where we focus on our existing operations, making them more efficient, and doing certain modifications employing new technology so that we can get more out of them and I think there's only two that is the way we've since about 2014, or the same number of operations managed to increase our rounds profile, from about 45,000 ounce to over 70,000 ounces, and in recent years, and do that affect to MF2 projects, Lesedi and Tweefontein projects that are discussed already earlier in the presentation, he is looking to roll out in the in the short-term. Also, the fine chrome opportunity I've spoken about this is something that can follow in the short term approach, and then also feeding dump source into existing operations. 34:03 If you look more longer-term, and in terms of expanding capacity and creating longer life of mine, we've been over the years engaging with a number of third parties in the industry, to look at adding resources to our program and we are confident that both from the eastern and western levels respectively, that we're able to add those resources in the timeframe suggested that could add between 10,000 ounces and 20,000 ounces a year each. If we progress them, and we've currently busy with investigations on them, and if anyone on specific commercial terms will decide on how we roll out and what form it will take in terms of both funding from capital, we do have I've given them because the figure of say between $20 million and $25 million is what we expect on each of these projects, to bring them to commissioning. And, with our current cash generation forecasts that on cash reserves, we should be able to fund our projects and maintain a stable dividend. When we look longer-term, and probably deviating slightly from the current dump and current earnings business is the longer-term inspiration projects, that those are two mineral projects for which we own the mining rights – approved mining rights or they have been granted and that is purchased up in the northern limb. And we've had them for a number of years. Obviously, I explained that the previous periods of our original business model was a lot more bullish, and we were prepared to take a lot more risk by building our own smelters and refineries or the intention to do it in the regional scope or some 12 years ago. But that's highly capital intensive and higher risk. 35:49 So we have in recent years and over the last two years decided we can rather look at focusing on the high-grade area, so these are losses. So we stating the resource statement so that we can produce a higher grade concentrate that saleable to existing smelters and refineries, without us to having incur the cost and risk of own internal either metallurgical in Parliament political infrastructure and that's what we're looking at these projects. Obviously, from a timeline perspective, you would remember, I've announced earlier, when we launched the specialist studies on Prill Split and the northern Prill Split study outcomes we expected expecting during the next 6 months, we should be able to restate the resources and reserve to acceptable limits that we are able to make a decision on how we want to progress with the project. 36:44 The Northern Limb entailed some additional drilling, and those drilling work has been concluded at the end of December. And we're busy with logging analysis and sampling at the moment on all those things. And then we will also hopefully, by year end of geological results to share and then a couple of months later, we will be able to have the money models run on that as well. 37:13 These projects, I think it's important to stress that, looking at the capital requirement to them and also the size is we – as a board will make a decision once we have the feedback on the studies and the results per se. Does that fit into our current strategy of being profitable, low risk and sustainable projects for the current business to do in in-house resources or do we say this in you need to partner maybe you're one of the bigger players in the market to progress them or potentially sell them or throw them out in a different vehicle. So those decisions have not been made yet and it's premature to decide that now before we have all the final information. But certainly what we do believe is that it is quality resources. It is shallow resources as I said they are open but of all they can be opencast mining so the near surface and the philosophy change we made is that we can produce grants that are sellable to the current market. So this just hopefully give you a flavor of this is significant potential life, there is growth and I'm confident that, with well proven record over the years of growing the business to where we are that we will be able to continue to grow it. 38:35 Finally, just maybe inclusion as the option as I mentioned earlier, production is key for us to ensure that we are able to continue to fund our growth aspirations, also that we are able to fund shareholder returns. We believe the PGM market is robust enough, though, for us to support us in that regard, from strategic point of view is focusing on the things we can control, production, operating cost, and a product rollout and more importantly, in the last couple of years, in recent years, there's been a strong focus on specific strategic alliances and partnerships with third parties and also we have identified external growth opportunities. And we continue to build on those, and then to have sustainable shareholder value and both in the form of dividends and share buybacks. 39:29 And you can see in the capital allocation at the bottom that just our capital committed is specifically for those strategic projects, new tailings storage facilities like this, I'll be in exploration assets, you will see there is no capital and a capital slide, which they uncovered. There's no additional capital for operational projects, currently in our estimates – forward looking estimates and it's purely because we haven't added any additional answers for it in our current estimates. So those things will be determined once we bring those projects finalization. 40:00 And then finally, it always remains a decision in a key consideration for us to be able to fund evidence and share buybacks that we have adequate cash available. So yes, that brings us to the – to the end of the presentation, and I think…
Operator: 40:17 Jaco and Lewanne. Thank you very much for your presentation this afternoon. Ladies and gentlemen, please do continue to submit your questions using the Q&A tab. It's just situates on the right hand corner of your screen. But just while the company take a few moments to review those questions already submitted, I'd like to remind you the recording of this presentation along with a copy of the slides and the published Q&A can be accessed by your investor dashboard. Jaco and Lewanne, we've received a number of pre-submitted questions from investors. And I wanted to start off the Q&A session with these.
Unidentified Company Representative: 40:45 The first one I believe you touched on in the presentation. But maybe if you could write a bit more color, will the management team be looking at share buybacks moving forward?
Jaco Prinsloo: 40:56 Yes, thank you, Jake (ph). No, as I said, it is a key consideration for us. And when we look at the current best cash position and capital requirements, we have agreed to make a sizable amount available for share buybacks in the near future, we'll always approach them on opportunity basis, we believe we can add value to shareholders. So that's something we will continue, and the board is committed to doing. And I think also positive in that regard is taking the balance of shares currently in Treasury that have to you need for employee share schemes and remuneration going forward. We don't need to buy any shares back for that, if initially as we would buy back in future would be canceled, and therefore add value.
Unidentified Company Representative: 41:46 Thank you. The second question that we received pre submitted was, are any of the planned work overs or developments on unexploited assets expected to make any significant improvement to ounces produced? Or are these works just expected to keep us near current output?
Lewanne Carminati: 42:03 Yeah, look, I think that's important one, and I, without us having to have the exact apart from that project pipeline, the idea is that it's not just sustaining current level, we you have inflationary cross bridges over the time and if you're going to stay at the same production levels or declining production levels, you will erode your margins going forward. So the key is always to say, Listen, how do we grow the business more, and I think we've always had a growth plan. And in this last two years, it was unfortunate significantly hampered firstly, by COVID and then by the host mine cut back, otherwise, we would have seen the growth on our profiles, but we're also looking at a more significant growth going forward and into the projects that we're looking to add on the profile. So I think, when we shared profile earlier, we were looking at between 60,000 ounces and 70,000 ounces for about 7 to 10 years. We're after as most of our primary dump sources are curating your life anymore on current devices and dump it probably would have tapered down to say 40,000 ounces to 50,000 ounces, adding additional plants to the tune of 15 or 10,000 ounces to 20,000 ounces on Eastern Western and respectively, you suddenly move your margin to stay over, say about 100,000 ounces and then even longer-term, you can add the expression of projects if we decide to continue then even on top of that, so certainly the idea is to grow the profile rather than just maintaining the profile and replacing existing production. So, I hope that answered the question.
Unidentified Company Representative: 43:39 That's great. The final pre submitted question that we have here reads as follows. The Global Automakers the signaling a massive ramp up in production this year, hopefully, basket price will be robust as a result, how can Sylvania take advantage of this could output be increased temporarily to build stocks and position to sell into high into high basket price?
Jaco Prinsloo: 44:00 Look, so that is, unfortunately, the flexibility is not that great? That way, suddenly, we can change our production plans to suit the market. The Prill Splits and others ratio of the platinum palladium rhodium in our orders are quite consistent and constant. So this unfortunate opportunity for us to do that, what we can do in what we continuously do is to evaluate, we often get approached by third parties to say, they have higher grade material, maybe from operations, whether the treatment facilities and can you treat it. And if we have an operation, for instance, we currently treating a low grade dump material, and you're able to substitute their feed with a higher grade material and then the incremental value we generate makes sense for both parties. Certainly, those are things we continuously evaluate and from our own mining perspectives, we can look at our own resources and CIP, we can optimize rates. But unfortunately, it's not huge flexibility in that regard. But it remains a consideration in how we approach our food sources and their business plans.
Unidentified Company Representative: 45:09 That's great. Thank you so much for that, if I may, could I please ask you to open up that Q&A tab, which is on the right hand corner of your screen. As you can see, we received a number of questions throughout today's presentation and thank you once again, to all investors for submitting those questions. If I could please ask you to read out the questions and give response where it's appropriate to do so. And I'll pick up from you at the end. Thank you.
Unidentified Company Representative: 45:32 Okay, so I'm looking at one of the things, but I think maybe while I was talking, I don't know if it's been answered. So there was a question from David, say, you say you are using excess cash to buy back shares, or the shares being cancelled or held in Treasury and buybacks that to be to be having a positive impact on the share price. And I think I have indicated that, you know, we have sufficient trades and priority to fulfill the needs of our share schemes. So obviously, we would be looking at cancelling them and I know there's been a big debate of does the cancelling add value or not, we certainly have a number of our institutions shell as I said, they prefer the buyback over the dividends, this other search engines prefer the dividend. And we always try to maintain a balance. And that's also I would say, it's also just to have opportunistic approach to it and see, when in the spells, we'll be dealing with a lower share price that we do the buyback thing. And sometimes shareholders perceive it as not having any impact, but you put it well, at the share price declining further divide, that's not happened. So again that answer to the question from David.
Unidentified Company Representative: 46:46 That was, David, if on the screen I see this a next question from David [Indiscernible] I'm not sure if the same David or another one. And he asked, and you can probably along the similar lines, can you comment on the poor valuation of the share price and why this is what I believe is a he said earnings of only for?
Lewanne Carminati: 47:05 And I think these leaning shoulders that raised their frustration about the valuation of the share price in recent years. And I mean, that's something we also try to work on, unfortunately, conflict roller, the share price, it's based on, on how the market perceive the value. But what I do think is, once you're able to have more tangible resources, I mean, we believe that the growth is there. But for analysts and investors to make proper long-term forecast, it always helps to have proper reserves and resources available. So there's a timeline is a clear indication of how much you have and for how long it will last, and I'm – I'm hoping that even next in this next year, we will be able to bring a lot more of that to the table whereas we update our resources on our exploration projects, we can do it the third part is re-engaging with approved the resource and reserve statements of that work and I think that will help shield us to ever a clear line of sight in terms of what our business is based on. It's always been difficult with our current arrangement of those mines, where you operate, to show you a commercial, confidential commercial agreement. And it's a private list of companies so they don't disclose any of their operations. And I believe that might be a big impact on why we're not seeing the valuation as strong as it could be, and understandably so. But I do think the situation that should improve going forward.
Unidentified Company Representative: 48:42 I think this, the next question I see is from Michael D. He says, are you continuing to experience cost pressures in the business?
Lewanne Carminati: 48:50 Look, obviously, I mentioned first one for us is the fact that we have a large, fixed cost portion. So obviously, when the answers are down, we are under pressure, there's our unit costs to hire from the external points. Yes, we've had recently a 15% increase in electricity. We have, our global national utility have asked or applied for a 20% increase rate for the next financial year and that's currently still have to be approved by the authorities. I think, a lot of the local analysts believe that they probably wouldn't be approved. But in any case, the electricity has been higher than standard inflation, the last few years. So electricity always remain a cost pressure. We fortunate enough that from a labor perspective, our labor portion is lower than typical conventional underground mines and we've been since we started the company, I've been able to always conclude wage negotiations on a reasonable industry related values. And so labor have also been in fine. I think on the projects, we see a bet on post [Indiscernible] supply of steel in electronics, and those kind of things a bit more of increase in prices. But from those normal running operations, the highest cost project is probably electricity demand. Thank God, if I look at my drop down screen, that's probably the…
Unidentified Company Representative: 50:35 Yes, I was just gonna say thank you for addressing all those questions that you can from investors today. And, of course, ladies and gentlemen, the company will have the opportunity to provide answers to any further questions where they believe it is appropriate to do so. And they'll be available on the investment company platform. Jaco perhaps before redirecting investors to provide their feedback, which is particularly important to the company. Can I please ask you for a few closing comments to wrap up with, thank you?
Jaco Prinsloo: 50:58 Yeah, thank you, Jake. I think there's a sector as always, it's – it's a great opportunity for us to engage with investors and I said it before this platform, since COVID have provided us the opportunity to reach many more than we could do with an additional roadshow going for Lewanne. So thank you very much, then I think, looking over the results for the passport, although it's a robust set of results. These definitely room for improvement. And I hope that we have given the shell this assurance that we know exactly where the areas are and that we are putting adequate and sufficient plans in place to address them. And also, I hope that the chairman's can see that these are the of quite a solid, sustainable and attractive growth profile of us. And I'm sure we will be able to return value to our shareholders in significant value for many years to come. So thanks for the confidence. Thanks for the support. And thanks for the opportunity.
Unidentified Company Representative: 52:05 Jaco and Lewanne, thank you very much for updating investors this afternoon. Could I please ask investors not to close this session as you'll now be automatically redirected for the opportunity to provide your feedback and all that the management team can better understand your views and expectations? It's going to take a few months to complete, I'm sure will be greatly valued by the company. On behalf of the management team of Sylvania Platinum Limited. We'd like to thank you for attending today's presentation.